Operator: Good day, and thank you for standing by. Welcome to the Q4 2025 AMETEK, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker, Kevin Coleman, VP of Investor Relations and Treasurer. Please go ahead.
Kevin Coleman: Thank you, Crystal. Good morning, and welcome to AMETEK's Fourth Quarter 2025 Earnings Conference Call. Joining me today are Dave Zapico, Chairman and Chief Executive Officer, and Dalip Puri, Executive Vice President and Chief Financial Officer. During the course of today's call, we will be making forward-looking statements which are subject to change based on various risk factors and uncertainties that may cause actual results to differ significantly from expectations. A detailed discussion of the risks and uncertainties that may affect our future results is contained in AMETEK's filings with the SEC. AMETEK disclaims any intention or obligation to update or revise any forward-looking statements. Any references made on this call to historical results will be on an adjusted basis excluding after-tax acquisition-related intangible amortization and excluding acquisition-related costs. Reconciliations between GAAP and adjusted measures can be found in our press release and on the Investors section of our website. We'll begin today's call with prepared remarks and then we'll open it up for questions. I'll now turn the meeting over to Dave.
Dave Zapico: Thank you, Kevin, and good morning, everyone. AMETEK completed a strong year with excellent results in the fourth quarter, highlighted by double-digit growth in sales, orders, and operating profit, robust core margin expansion, strong cash flow growth, and earnings per share ahead of our expectations. In the quarter, we established records for sales, orders, operating income, EBITDA, diluted earnings per share, operating cash flow, and free cash flow. We also ended the quarter with a record backlog and today announced the acquisition of LKC Technologies, an attractive technology acquisition which broadens our med tech exposure. I'll provide more details on LKC shortly. Now let me turn to our fourth quarter results. Fourth quarter sales were a record $2 billion, up 13% from the same period in 2024. Organic sales were up 5%, acquisitions added seven points in the quarter, and foreign currency was a one-point tailwind. Orders were very strong in the quarter with overall orders up 18% to a record $2 billion and organic orders up 7% versus the prior year, leading to a record backlog of $3.58 billion. Sales and orders growth consistently improved throughout the year, with the fourth quarter growth the strongest of the year. AMETEK delivered excellent operating results in the quarter. Operating income was a record $523 million, a 12% increase over 2024.
Dalip Puri: Operating margins were 26.2% in the quarter. Core margins were an impressive 27.6%, up 100 basis points. EBITDA in the quarter was a record $618 million, up 10% versus the prior year, and EBITDA margins, a strong 30.9%. Our excellent operating performance led to strong cash generation, with free cash flow a record $527 million in the quarter, up 6% versus last year's fourth quarter, and free cash flow to net income conversion of 132%. Diluted earnings per share were a record $2.01, up 7% versus 2024 and above our guidance range of $1.90 to $1.95 per share. Adjusting for an abnormally low tax rate in last year's fourth quarter, diluted earnings per share would have increased 11% in the quarter on a 5% increase in organic sales, reflecting strong incremental margins. Now let me provide some additional details at the operating group level. First, the Electronic Instruments Group. EIG delivered excellent operating performance in the fourth quarter with record sales and operating profit along with impressive core margin expansion. EIG sales were $1.37 billion, up 13% from last year's fourth quarter. Organic sales were up 2%, acquisitions added 10 points, and currency was a one-point tailwind. We are encouraged by the organic sales growth in the quarter and the steady improvement in EIG growth rates throughout 2025. EIG's fourth quarter operating income was a record $413.7 million, up 7% versus the prior year. Core operating margins were a robust 32.3%, up 50 basis points from the prior year. The Electromechanical Group completed an outstanding year with very strong broad-based growth and excellent operating performance in the fourth quarter. EMG's fourth quarter sales were $629 million, up 15% versus the prior year. Organic sales were up an impressive 14% and foreign currency was a one-point tailwind. Sales growth was strong across all EMG divisions with each growing double digits organically in the quarter. EMG's operating income in the fourth quarter was $142.5 million, up a sizable 28% compared to the prior year period. While EMG's fourth quarter operating margins were 22.7%, up 240 basis points versus 2024. Now for the full year results. AMETEK delivered excellent overall results in 2025, establishing annual records for sales, operating income, operating margin, EBITDA, and diluted earnings per share. Overall sales for the year were $7.4 billion, up 7% from 2024. Operating income for 2025 was $1.94 billion, up 7%, and operating margins were 26.2%, up 10 basis points from the prior year period.
Dave Zapico: While core margins were up a very strong 80 basis points. EBITDA for the year was $2.33 billion, up 7% with EBITDA margins of a very strong 31.5%. Full year 2025 earnings were $7.43 per diluted share, up 9% versus the prior year. We also delivered strong cash flows in 2025, providing us with significant capital to deploy on strategic acquisitions with free cash flow and net income conversion of 113%. I'm very proud of our performance in 2025. Our businesses successfully navigated through sluggish industrial markets and ongoing macroeconomic uncertainty and delivered excellent results. Thank you to all AMETEK colleagues for your outstanding contributions and hard work, delivering on our commitments to our customers and shareholders. AMETEK is well positioned for continued long-term success given your efforts. Now turning to acquisitions and capital deployment. In 2025, we completed the acquisitions of Ferro Technologies and Kern Micro Technique for approximately $1 billion, acquiring approximately $400 million in annual sales. The integration of both businesses is going well as they integrate the AMETEK growth model into their businesses. Now switching to our most recent acquisition, LKC Technologies. LKC is a leading provider of innovative technologies that enable effective diagnosis and management of ophthalmic conditions. Advanced technology solutions help doctors test and monitor eye health and are designed to detect early signs of diabetic retinopathy and other serious eye conditions that can lead to vision loss. A combination of LKC with our Ultra Precision Technologies Ryker business provides attractive market expansion and creates a broader ophthalmic portfolio. LKC was privately held and headquartered in Germantown, Maryland. I'm excited to welcome all LKC Technologies colleagues to the AMETEK family.
Dalip Puri: With our robust balance sheet, strong cash flows, and disciplined approach to capital deployment, AMETEK is well positioned to continue driving long-term value through our acquisition strategy. We are encouraged by our strong pipeline of high-quality acquisition candidates. Our significant financial capacity provides us with the flexibility to deploy over $5 billion in capital while maintaining an investment-grade credit rating. Our top priority for capital deployment remains acquisitions, while our strong cash flow provides us with the flexibility to repurchase shares and pay a consistently increasing dividend. We also continue to focus on ensuring AMETEK is strategically positioned for long-term sustainable growth through continued investments back into our business. These investments have strengthened our leadership position within our niche markets, helped open up new growth markets, and attractive adjacencies, and accelerated our new product development and technology innovation. All of 2025, we invested an incremental $90 million in support of these growth initiatives, with the majority of these going into our research, development, engineering, sales and marketing, and digital initiatives. And in 2026, we expect to invest an incremental $100 million. We're seeing great results from these investments. In the fourth quarter, our vitality index, which measures sales and new products introduced over the last three years, was an outstanding 30%.
Dave Zapico: This is an impressive result and reflects the great work of our businesses and colleagues. I wanted to highlight a couple of examples of how our businesses are leveraging their technology innovation efforts and broad product portfolios to help strategically expand their presence within attractive market segments. The first business is AMETEK Spectro. Spectro is a leading provider of advanced analytical instrumentation for use in critical industrial, environmental, research, and academia applications. Spectro's products and solutions provide highly accurate, reliable, and efficient elemental analysis. Spectro has recently introduced a new product family of elemental analysis instruments, broadening their technology product capabilities and market reach. These new products, the SpectroMax and the XSort, have seen outstanding demand as rapidly rising commodity prices have increased the importance of precise and accurate metals analysis within a wide range of applications. We are also seeing growing demand across our defense businesses, in particular within our European defense businesses, as our differentiated technology capabilities and product portfolio are well positioned to benefit from the expanding defense spending in the region. Our defense businesses provide a wide range of ruggedized high-performance solutions for a diverse set of mission-critical defense applications, and we continue to win content on new programs given strong design and engineering capabilities. To share a few examples, AMETEK's Rotron and Ear Technology businesses are providing advanced cooling solutions for use on a number of European air defense systems. Our Abaco business is providing integrated high-performance computing systems for European aircraft and communication platforms, and our power and data systems businesses are supplying power generation systems for a number of UAV platforms. Great work by our businesses in developing the critical product and technologies needed by our customers. Now shifting to our outlook for the year ahead. For 2026, we expect overall sales to be up to high single digits on a percentage basis, with organic sales expected to increase low to mid-single digits versus the prior year. Diluted earnings per share for the year are expected to be in the range of $7.87 to $8.07, up 6% to 9% compared to last year's results. For the first quarter, we anticipate overall sales to be up approximately 10% versus the prior year's first quarter with adjusted earnings of $1.90 to $1.95 per share, up 6% to 9% versus the prior year. To summarize, AMETEK delivered a strong finish to the year, with excellent performance in the fourth quarter reflecting the strength of our portfolio and our ability to execute our growth strategy. We entered 2026 with a record backlog and solid momentum given the strong sales and orders growth we saw in 2025. Our differentiated technologies and deep industry expertise continue to position us well in attractive niche markets. Additionally, we have significant capital to deploy on strategic acquisitions, and a track record of delivering strong returns on capital. Lastly, our proven operating capabilities allow us to deliver strong incremental margins and manage through economic uncertainties. With a focus on innovation, operational excellence, and disciplined capital allocation, we are confident in our ability to drive continued growth and create long-term value for our shareholders in 2026 and beyond. I will now turn it over to Dalip Puri, who'll cover some of the financial details of the quarter. Then we'll be glad to take your questions. Dalip?
Dalip Puri: Thank you, Dave, and good morning, everyone. As Dave noted, AMETEK had an excellent finish to the year, establishing records for orders, sales, operating income, earnings per share, and free cash flow in the quarter. Now let me provide some additional financial highlights for the fourth quarter, the full year, as well as some additional guidance for 2026. Fourth quarter general and administrative expenses were $33 million, up $4 million from the prior year due to higher charitable donations in the period. For the full year, general and administrative expenses were up $10 million. As a percentage of sales, full-year G&A expense was 1.6%, up slightly from 2024 levels. For 2026, general and administrative expenses are expected to be approximately 1.5% of sales. Fourth quarter other expenses were up $6 million compared to 2024. For 2026, we expect other operating expenses to be largely in line with 2025 levels. The effective tax rate in the quarter was 16.3%, up from 12.8% in 2024. For the full year, the effective tax rate was 17.8%. For 2026, we anticipate our effective tax rate to be between 18.5% and 19.5%. As we have stated in the past, actual quarterly tax rates can differ dramatically, either positively or negatively, from this full-year estimated rate. Capital expenditures were $57 million in the fourth quarter, and $130 million for the full year. Capital expenditures in 2026 are expected to be approximately $160 million or about 2% of sales. Depreciation and amortization expense in the quarter was $106 million, and for the full year, was $1.423 billion. In 2026, we expect depreciation and amortization to be approximately $430 million, including after-tax acquisition-related intangible amortization of approximately $210 million or $0.91 per diluted share. For the quarter, operating working capital was 16.5% of sales, a 30 basis point improvement versus 2024. Operating cash flow in the quarter was a record $584 million, up 6% versus 2024. Free cash flow was also a record in the quarter, up 6% to $527 million with outstanding free cash flow conversion of 132% for the quarter. Free cash flow for 2025 was $1.7 billion, with full-year free cash flow conversion also very strong at 113% of net income. For 2026, we expect free cash flow conversion to be between 110% and 115% of net income. Total debt at year-end was $2.3 billion, up $200 million from 2024 due to the acquisition of Ferro Technologies. Offsetting this debt is cash and cash equivalents of $458 million. During the quarter, we spent approximately $285 million on share repurchases, bringing our total share repurchases for the year to approximately $443 million. We continue to have significant financial capacity and flexibility to support our growth initiatives and capital deployment strategies. We demonstrated our financial flexibility in 2025 by deploying over $1.8 billion on acquisitions, share repurchases, and dividends, all while maintaining our financial capacity and a conservative balance sheet. At the end of 2025, our gross debt to EBITDA ratio was one times, and our net debt to EBITDA ratio was 0.8 times, essentially unchanged from the end of 2024. In summary, we delivered strong fourth quarter and full-year operating results, highlighted by record revenue, record earnings, robust margin growth, and excellent cash flow generation. With a proven strategy, significant capital deployment capacity, and a strong track record of execution, we are well positioned to continue delivering exceptional results in 2026. Kevin?
Kevin Coleman: Thanks, Dalip. Crystal, could we please open the lines for questions?
Operator: Thank you. You will need to press 1 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. And our first question will come from Matt Summerville from D.A. Davidson. Your line is open.
Matt Summerville: David, I was hoping you could drill deeper into the medical portfolio and their performance therein across both EIG and EMG and how we should be thinking about kind of the medium to long-term algorithm associated with 21% of our business now, the broader health care exposure. If you look at the health across both groups, Paragon and Rowland driving the results. They were up low double digits in Q4. So that was a very good quarter, up low double digits. And for the full year, '25 they were up high single digits. And we're thinking for '26, it will be up mid single digits. So our initial guide is mid single digits. More challenging comps, but still very healthy businesses and performing well. And what's the Matt?
Matt Summerville: I was wondering if you could talk about how you're thinking about strategic price capture kind of going forward you know, after passing through this multiyear period where you had, you know, pretty meaningful inflation And then, obviously, you know, you had the tariff pressure So what's kind of the go forward price algorithm does that look like for AMETEK now? Thank you.
Dave Zapico: For for the the '25, we had a positive price cost spread. So we our pricing offset both inflation and tariffs. So and we think that that is gonna be what's gonna happen in '26 for the so for the full year '26, we're confident we can offset inflation and the existing known tariffs. So we're getting, you know, we we have highly differentiated businesses of AMETEK product portfolio, leadership in niche markets around the globe, and these are mission critical products, And the pricing is is not going backwards. It's gonna stick. The vast vast majority of it is you know, price increases, not just kind of offsets So we we had a good pricing situation. As I mentioned in my prepared remarks, we have a refreshed product portfolio. 30% vitality, mission critical products. So we really have done this for quite a while and don't see any change. So I think we'll be positive when you take into account inflation and and tariffs for the year.
Matt Summerville: Thank you, David.
Dave Zapico: Thank you, Matt.
Operator: Our next question comes from Deane Dray from RBC Capital Markets. Your line is open.
Deane Dray: Thank you. Good morning, everyone.
Dave Zapico: Good morning, Dean. Hey. Maybe we can step back and Dave, do your typical run through the end markets key platforms? It sounded like everything in medical was certainly hitting expectations. And if you could touch on any kind of regional dynamics as well. Thank you. Sure, Dee. The process business, let's start there. Overall sales, for our process businesses were up mid teens in the fourth quarter, driven by the contribution from recent acquisitions, So we acquired the the apparel business, the the Kern business, and we bring those in. They're lower margins and and you know, we're improving them as we go. But the that group grew low single digits organically in quarter. So that's the first time we saw low single digit organic growth in Process. We're pretty happy with that. We saw continued improvements throughout the whole year. As I said, the the most positive in the fourth quarter. We're encouraged by that finish to the year, and we've talked about before we see a very strong pipeline of growing opportunities in our broader process and analytical instrumentation markets. For the full year 2026, we expect organic sales for our process segment to be up low single digits. Talk about our aerospace and defense businesses. They completed an outstanding year with low double digit growth in both overall and organic sales in the quarter. Similar to the full year, growth was broad based strongest orders, strongest growth across our commercial OE, and aftermarket businesses in the quarter. Our businesses are well positioned with strong and expanding content on a wide variety of aerospace and deflant defense platforms. And looking ahead, we expect another strong year high single digit organic growth in 2026, and really balanced across both our commercial and defense businesses. Jumping next to our power business, delivered solid growth in the quarter, both overall and organic sales were up mid single digits. Growth in the quarter was strongest within our RTDS and Power Instruments businesses. Driven by global grid modernization and applications supporting the data center build out Talked a little bit in the last meeting. We have applications in power generation, backup power, microgrids, power system simulation services, all supporting their broader data center ecosystem and delivering power to the ecosystem. Looking ahead to 2026, we expect organic sales for our power businesses to be up mid single digits. And finally, our automation and engineered solutions businesses delivered another outstanding quarter. With low double digit overall inorganic sales growth, Growth was again broad based across our automation and engineered solutions businesses. With our Paragon Medical businesses delivering the strongest growth. For 2026, we expect sales for our automation and engineer solutions businesses to be up mid single digits organically. And I think you asked about the geography also, James. Yeah. And yeah, we we had you know, both US and international sales were up mid single digits. So so it's you know, kinda good strength across the board. In in The US, we were up MSD, mid single digits driven by strength on our automation and engineered solutions business. In Europe, we were up low single digits, driven by strength in aerospace and our automation businesses. And Asia was up 10%. We were very pleased. China was up low double digits for us. Driven by our process, power, and automation businesses and again, Asia was up 10. We if we take China out of Asia, Asia was up high single digits. So Asia was pretty much strong across the board. So pretty pretty good performance geographically across the board
Deane Dray: That's all good to hear. Just a quick follow-up. You talk about record backlog. What kind of conversion should we expect in 2026 of backlog? I mean, I know typical, you're at like 30% conversion, but with the recent kind of expansion, it's been closer to How does that shape up for '26? It it it's in the same ballpark. It's it's it's it's with our long cycle businesses, our aerospace and the the defense business with with our process businesses. Some of those are multiyear but there's plenty for us to ship near term. So we're we're pretty pretty, optimistic about the order pipelines. We we had good orders throughout the quarter. December was the strongest quarter December was the strongest record quarter for us. In one month. We also started the year strong. So so, you know, orders are good. We're we're you know, there's again, the backlog is you know, with our multiple industries, it's a little bit difficult. But you're right. In it says between that 30-50% number. But we're we're in good shape and and and it's feeling good with the strength.
Deane Dray: Great to hear. Thank you.
Dave Zapico: Thank you, Dean.
Operator: Thank you. Our next question comes from Andrew Buscaglia from BNP Paribas. Your line is open.
Andrew Buscaglia: Morning, Andrew. Was hoping to focus on EIG. Just that you know, it sounds like, you know, that organic growth of 2% little bit below kinda what you had expected because you expected the full year to grow year over year. So I imagine in process and analytical instrumentation that maybe didn't come through the growth didn't come to fruition the way you thought it would. What are your expectations into 2026 for that segment and or subsegment? And and direct activity converting.
Dave Zapico: Yeah. Just if you if you go back to the beginning of 2025, we actually had negative organic growth in the first couple of quarters in our process businesses. And those improved. So so we actually were positive in Q4. So we were pretty we were pretty pleased with the performance of of EIG turning positive in Q4 on the back of the process of business performance. If I look at 2026, you know, we we have our overall sales, I already mentioned in the prepared remarks, is up mid to high single digits. Organic up low to mid single digits. And we think both of our businesses will have low to mid single digit organic growth. So both both EIG and EMG overall will be up mid to high single digits. And both will have organic growth of low to mid single digits.
Andrew Buscaglia: Okay. Got it. And, you know, that outlook in EMG, you know, you're you're Sales were so strong in Q4. Was there something, I know, of the order ordinary unusual that that would drive that 15% growth that this won't repeat going forward?
Dave Zapico: No. I I I think that, as I mentioned in the prepared remarks, every division within EMG had double digit growth in sales. So there's really a lot of strength there. I mean, there's we you know, if you know, gonna get some tougher comps next year, But but we're performing well. We have strong execution. Disciplined operations. We're gaining momentum in the before portfolio. EMG recovered nicely. Automation and med tech are solid. A and D remains strong with good backlogs. So I I think what you might be seeing there is the guide's a little bit prudent. Are this early in the year? But, we feel good about the EMG in 2026.
Andrew Buscaglia: Alright. Fair enough. Thank you.
Dave Zapico: You, Andrew.
Operator: Our next question comes from Brett Linzey from Mizuho. Hey. Good morning,
Dave Zapico: Good morning, Brad. Hey. I wanted to just come back to the kind of the pricing dynamic. I know there's a lot of fits and starts on on tariffs last year.
Brett Linzey: And subsequent pricing. Any any signs of prebuy or prebuild in in some of those channels as maybe some of that destock has turned to restock and customers are maybe looking to get ahead of some of the price last year?
Dave Zapico: No. I I I think, it seems like we've you know, there's a lot of macroeconomic things we're dealing with and uncertainties and and related to the broader deglobalization. But I think all that stuff happened in 2025, and I think we're we're, you know, we're more of a more normalized feels like it's more normalized now where you're not you don't have buy add buy add you don't have things like that. And so it feels more normal than it did in '25. At the beginning of '26. Okay. Great. And then just a follow-up on price and and cost. Maybe discuss your your actual pricing expectation for 2026. And then how are you thinking about price cost spread for the year? I know we're getting a little bit of metal inflation here.
Brett Linzey: Yeah. We're we're not we're not giving a specific target but what what we will say is in in in the fourth quarter, as I mentioned to to Matt, we offset price price offset inflation plus tariffs plus in about 50 basis points. So it was very strong. And I expect a similar kind of performance next year. That's our target. So so there's in our different businesses, there are different levels of inflation. There's dynamics. But we have a strong history of of because of the product portfolio and the special place in the value chain we have with our customers, being able to to offset price offset inflation and tariffs with price. So that's that's gonna continue.
Brett Linzey: Alright. Great. Thanks, Dave.
Dave Zapico: Thank you.
Operator: Our next comes from Andrew Obin from Bank of America. Your line is open.
Dave Zapico: Yes, good morning. Hello, Andrew.
Andrew Obin: Can we just get an update on FARO acquisition? What are you seeing? What's the progress has been? What are the key learnings?
Dave Zapico: Good question. Remember everybody, it's designed and develops advanced three d metrology and digital reality solutions. These include product families like measurement arms, laser scanners, laser trackers, integrated process and analytics software, and it's an excellent strategic fit with our CreateForm business. So we have a business that's complementary to it and complements our metrology capabilities. So it a and we acquired the business, and we think we can add meaningful value to Ferro. So along with the elimination of the public company cost, then the integration of in the AMETEX global infrastructure, we think there's a tremendous amount of synergy. So we acquired the business for about 2.7 times and we we feel that cost synergies will allow us to more than double EBITDA margins from the current know, mid teens level to a 30% level and achieve a 10% return on invested capital by year three. And and that was the plan going in, and it's still we're more confident than ever we're gonna be able to do that. The we we have made moves on on integrating the business. We formed two business units One is more the metrology business unit, and one is more the digital reality business. So those are people coming from Legacy AMETEK and FARO in both businesses. And that's going going going extremely well. You'll see in the the press release we put out, We we have some one time charges with that. It was about $17.6 million, I believe. So that's allowing us to get the kinds of improvements that we're getting in the business, and that's why there's know, quite quite a big gap between the our core margins that I mentioned. And the reported margins. You got the along with being a a know, a less profitable business, And we do we do we're doing some work on on on improving the business. But, you know, I I'm very, very bullish with the business. I mean, there's a a great coverage throughout the world. We didn't have overlap and capability of really complimentary, and and the team is extremely motivated. So the AMETEK leadership style is having a positive effect on Farewell. So we're very pleased with it.
Andrew Obin: Thank you. And and and then last, you know, '25 was a year where I think we're all waiting for a short cycle recovery that never happened. And, you know, you've clearly stressed that your orders improved. Into the year end and continue to be strong in January. What kind of conversations are you having with your customers? Do you feel better that what's happening right now is not maybe flash in the pan? Maybe more of a substantive recovery. Would appreciate any color. Thank you.
Dave Zapico: Yeah. If you go back and listen to our last couple of conference calls, we were feeling better, through the quarters too. We could see momentum building and and, it seems to continue to build. And you know, we've had a fantastic pipeline of opportunities and more of those are starting to to happen. And and I yes. You know, he had three years of negative PMI prints, and it's I think it's changing. Feels good for us. And you know, you have a you have a lot of you know, we got we got the the positive statements that we talked about. And then and we got the power business now as well positioned, it's gonna benefit from the build out of power capacity. The process business is seeing steady improvements we're managing a strong pipeline. Future project activity remains extremely healthy. You look at the a little bit of macro uncertainty around the broader decobilization, but at the same time, conditions remain constructive. Interest rate policies are positive. M and A environment looks favorable. You know, the industrial renaissance across the West should offset help us offset any kind of drag from the tariffs. So, yeah, we're we're building our business and we're feeling pretty good right now. So you never know if it's long lasting, but right now, it's it's it's it's it feels feels feels solid and we're certainly being prudent with our guide. Because, you know, something like you you mentioned happens and weakens later in the year, but we don't see it right now.
Andrew Obin: Thanks so much.
Dave Zapico: Thank you, Andrew.
Operator: Our next question comes from Jamie Cook from Truist Securities. Your line is open. Hi, good morning. I guess my first question, Dave, can you just, you did FARO, you did Kern, just sort of an update on how you're thinking about the M and A pipeline in 2026? And are there any sort of sizable deals that are out there? And then my second question, just on the implied margins for 2026 relative to the top line guide. We talked about priced costs being positive. Obviously, I think FARA is still gonna weigh. On margins a bit. Is there any other factors that we should consider as we're thinking about margins across your segments that are unusual? Thank you.
Dave Zapico: No. I I I think, Jamie, I'll take the margin question first. I mean, we're firing on all cylinders in terms of margins. You know, if you look at our core operating margins, we're up a 100 basis points in the quarter. So if you back out the all the things you mentioned, they're very strong. Both groups, EIG was up 50 basis points EMG on a core margin was up 310. And if you look at incrementals, our our you know, core incrementals were 45% and and Q4. So know, that that's very strong. And and for twenty six, we've been a little more conservative. We're saying, you know, 35% reported incremental margins and 30 basis points of margin expansion. So so 30 basis points of margin expansion, which is pretty typical for us going into each year, and we're thinking we can get 3535% incrementals. And that'll be a little bit less than we got in '25, but it's more more prudent. We're feeling good about it. There shouldn't be any surprises. A business like ours, we're we I think we 31% EBITDA. Every time we acquire businesses, they're coming in at a lower profit margin. So, yeah, that's why we try to give the core margins and we communicate them. And and and we go through it all, and you have to about it all. But we had a business that has a lot lower margins, like, Saigo had essentially 15% EBIT I mean, FARO had essentially 15% EBITDA margin. So there's gonna be initial dilution. Have a tremendous capability of bringing those margins up. And the best way to look at that long term is our return on capital. You have to look at our balance sheet. It doesn't lie. We had a between a 1213% return on capital, and that's how we know we're creating value for our shareholders.
Jamie Cook: Okay. So that was the genesis of my question. So it's it's just you being prudent versus anything else. Yeah. I think so. It really is.
Dave Zapico: And then you talked about m and a, and and and you know, we're we're excited about the businesses that we got done done. Because we really can add a lot of value to to Farrow and Kern. But we really have the opportunity to differentiate our performance with m and a in the next year or two. Because with our ability to operate businesses, our discipline, and and really a key change in the pipeline, we're really having strong pipeline of deals right now. And as as Dallas said, we have a balance sheet ready to act, ready to put the work And the pipeline remains strong. We're actively looking at a number of high quality deals We could we could spend $5 billion and still maintain our investment grade credit rating So the team is active, and we're excited And it's really gonna be a way for us to differentiate our performance over the next couple of years.
Operator: Thank you. Our next question will come from Nicole DeBlase from Deutsche Bank. Your line is open. Thanks for the question. Good morning, guys.
Dave Zapico: Hi, Nicole.
Nicole DeBlase: Maybe just circling back on China, really encouraging to see see a turn positive and nicely positive in the quarter. Dave, do you think we're seeing a turn in that market? If we could maybe double click on what you're seeing in the individual businesses there and what your expectation is for 2026 as well.
Dave Zapico: Right. China is a little different for us. I mean, we have we have first of all, we have a fantastic team over there. We have just great great long term Amitek employees over there in do a great job of managing it. And we have products that are used by our customers in China to improve their manufacturing processes. You know, high value manufacturing processes, have products that they used to automate their processes. We have products that make their environment cleaner. We have process products that helps them build out their nuclear power infrastructure We have products that help them test their electric vehicle industry. So a lot of our products are really suited to our customer base over there. So Yes. It's you know, the the overall, you know, is the overall market, the overall country, I think you're seeing some deflation. I think you're seeing you still have a real estate hangover. But in the in the places that we're playing, we still have strong positions. And and you know, we we are we're being conservative on how we're looking at that business. But it was, it was good to see the change and and get a level low double digit growth and and driven by our process businesses, our power businesses, and our automation businesses, all firing on all cylinders in China.
Nicole DeBlase: That's great. Thanks, Dave. And then just maybe following up on Jamie's question on M and A. It sounds like you're pretty fired up about the pipeline. Would you say like if you kind think about your time running AMETEK and compare today's pipeline versus what you've seen over the years. Is this like a stronger pipeline than normal? Or is it just okay, our pipeline is always strong, and this has been a focus of AMETEK for some time? Thank you.
Dave Zapico: Yeah. The pipeline has always been strong, but I think right now, the pipeline is filled with a good mix of normal quality deals and and larger deals. So I think there's the there's probably more larger deals than have been in in our pipeline in a while, and larger deals, you know, we we've we've we're not looking to buy a business as our size or even half our size or even a quarter of our size. Mean, we we we don't think you add value that way, but there's a there's a a good bunch of businesses there that are of good chunky sizes for us. So we get bigger, we've expanded the the types of businesses we're looking at and you know, we we we're very pleased with mean, we're very disciplined. So what looks good today may not happen tomorrow, we're not gonna overpay. But at the same time, if we if we buy a business, you know we're gonna get the returns on capital. And we're optimistic. We're working very hard. We have a great team in 11 people dedicated to m and a. We're very few companies of in in the industrial world that have those dedicated people to it. And all of our operators are also involved. So we have a good process It's well defined processes. The processes that work on deal sourcing, deal modeling, diligence, integration, and I think the secret sauce of AMETEK is we have very strong business operators, well ingrained in the AMETEK culture, well ingrained in the AMETEK business system, providing ownership for delivery of financial metrics for each individual deal. So and we learn something new from every deal. It's we we're we're experienced at it, but but humble, and we learn something new from every every deal. And we we share the knowledge and just makes us better.
Nicole DeBlase: Thank you, Dave. I'll pass it on.
Dave Zapico: Thank you, Nicole.
Operator: Our next question comes from Chris Snyder from Morgan Stanley.
Chris Snyder: Thank you. I wanted to follow-up about the 2020 margin guide. It seems like on the math that Q1 margins would be down year on year again. I'm just looking at the 10% top line growth versus EPS up mid to high singles. So I guess, does that reflect some of the M and A headwinds still coming through in that year on year compare? And obviously, you guys are guiding margins up for the year. So do you think they will turn back to expansion in Q2? Or is that more of a back half event? Any just color on the trajectory there would be helpful. Thank you.
Dave Zapico: Yeah. Yeah. Chris, I think in in Q1 specifically, we got overall sales at 10%. And you got FARO in there that's running at a lower margin pretty sizable bill running at a lower margin. So if you if you just look at Q1 and you look at the year on year increase in sales, and you apply a mid-20s contribution margin to you'll get you'll you'll it'll work out to to to to our guide. I mean, I think below the line items essentially offset, and we're getting mid twenties on the contribution margin on the incremental business. And that that'll be right in line with what we did.
Dalip Puri: Yeah. Chris, if you adjust, for the acquisitions and look at core margins we do expect Q1 margins to expand like we guided for the full year in that same ballpark.
Chris Snyder: Thank you. I I I appreciate that And then just a follow-up on staying on margins. And I guess maybe the inorganic margin opportunity or maybe the synergy opportunity on Pharo and Paragon is the better way to phrase it? Can you talk about where we are on that? You know, Pharo, I think you guys said comes on mid teens EBITDA. You guys see a pathway to, I think, double that to about 30. You know, any color on the path? And then Paragon is obviously closer to final margins, but I think you guys have talked about maybe another 500 bps or so there. Can you just maybe kind of provide any sort of timeline on, you know, how those businesses are progressing against those targets?
Dave Zapico: I'll start with Paragon. Paragon is is already at EBITDA margins that now online with AMETEK. So it's a very positive work by the people that are doing the work in that business. Very happy with them. But there's more room to go. So I I think there's a a whole next leg of you know, margin improvement in Paragon that are this is gonna occur over the next twelve, eighteen months, and it's gonna it's gonna occur incrementally. We do things incrementally at low risk, and that's gonna happen. And then with FARO, you know, we're kind of in the you know, beginning stages of it. And, you know, you'll you're, you know, pretty saw some pretty heavy restructuring done early in the year. We're still doing some organizational work. There's a international infrastructure that we haven't dealt with yet in terms of duplication. So I think, you'll see some benefits from Paragon. In this this year. And and, you know, Farrell's gonna approve and but it's it's gonna take us couple of years to get it to 30. And, you you know, it's gonna it's gonna be in some chunky improvements, but it's gonna take us a couple years to get it
Chris Snyder: Thank you, Dave. Appreciate that.
Dave Zapico: Thank you.
Operator: Our next question comes from Julian Mitchell from Barclays. Your line is open.
Julian Mitchell: Hi, good morning. Maybe good morning. Just maybe wanted to start with, the orders sort of trends in recent months. You know, as you said, things felt better into year end. December was good, but I suppose the absolute organic orders growth rate was, I think, steady. Year on year in the third and the fourth quarters at about 7%. So were there things sort of maybe help us understand, were there things moving around on specific markets within the orders or or something geographically? Any color as to how maybe orders look different in the fourth versus the the third quarter?
Dave Zapico: I I think it was pretty broad based. I mean, we had wanna when I look at the the fourth quarter, we had the organic orders of 7%, as you said. Both groups were up. So EIG and EMG. So was broad based, and that was a similar pattern from from Q3. And the book to bill of AMETEK was 1.02, and it was pretty broad based.
Julian Mitchell: Thanks very much. And when we're looking at the organic sale oh, yeah.
Dave Zapico: I think I think the the what you see is the the EMG businesses picked up first and the EIG businesses the process part of the EIG businesses are following later. And that's a typical pattern that we've had throughout history. So is there some time during the the, 2026 when we think the EIG the process part of EIG is really gonna inflect positive and historically, we've had great contribution margins when that happens. But that's that's that's that's that's how it's happening. EMG happens first. EIG happens later. We look at aerospace, it's been strong all along, and you look at that separately.
Julian Mitchell: That's helpful. And and, Dave, just wanted to follow-up on your points just now on thinking about the phasing of the segment. So when we look at organic sales growth for AMETEK in 2026, Maybe clarify know, what degree of of sort of deceleration just from tougher comps, you know, dialing in inorganic growth through the year, with that prudent framework in mind. And are we assuming then that the EIG business kind of exits the year maybe organically growing a little bit faster because of that later pickup.
Dave Zapico: That that I I would know what's gonna happen exactly because we're looking a long way out, but I think if you get into the second half of the year, EIG organics could be stronger and EMG organics could have a tougher comp.
Julian Mitchell: Perfect. Thank you.
Operator: Thank you. Next question will come from Joe Giordano from TD Cowen. Your line is open.
Joe Giordano: Hey, good morning, guys.
Dave Zapico: Good morning, Joe. Apologies if someone asked this. I'm kinda multitasking here a bit. But, Dave, can you on on the guide for process, I know you like to be cautious in the beginning of the year and market's far from certain here, but a little conservative, low single digit coming off like an acceleration throughout the year and now going positive. process? Can you kind of frame maybe the puts and takes that's driving that view on initial view on
Dave Zapico: I I can see that. I mean, it it was We grew low single digits in Q4. And we got it low single digits for the year. So the Q4 was the first quarter process add. Positive low single digits. So it's we're we're being a bit prudent, but you know, one quarter does not make make a year. Is there a big spread in that segment between, like, what's getting better and what's kind of stable but not accelerating? Can you may maybe if there's a little bit more granularity we can get there? Yeah. I I think in that segment, you what you see is you know, the the the the semiconductor business is positive. And the instrumentation sold, the metals businesses are positive, and the the raw in business that we talked about earlier is positive. So a lot of a lot of things are positive. And then the places that are the oil and gas and the research are a little bit less than those those positive segments.
Joe Giordano: Yep. Yep. That makes makes sense. Could you maybe give us a little color on the new deal, like, in terms of the size of the business and the the maybe the margin opportunity there? Yeah.
Dave Zapico: Yeah. It's it's really a technology deal, and we're not disclosing terms. We have an agreement that we're not disclosing terms. It's a smaller deal. It's a technology deal. And you know, it's a really, really interesting business. They they're a leading provider of advanced eye care testing instruments. And and you know, optometrists are trying to find the initial signs of diabetic retinopathy. And and they're doing that with, you know, structural testing. And and they're testing your eye. They're they're looking at your eye. They're trying to see things. But this is a an actual electrical response, and it's at a portable device. They they there was a a technique that you used to do the test The test was expensive. It was very large piece of equipment. But they the innovation was to make it a really portable instrument. And this is really gonna help a lot of people. And it's kind of a you know, a a technique that's very, very growing rapidly, small but growing rapidly. And know, most of the sales are in The US, and and there's about about 60 employees near DC in Germantown, Maryland. And it fits right into our our record business. Our ultra precision technology business has a business that sells this type of equipment. It's just an additional product line. So we're really happy about it. Got it's adjacent technology. It broadens our portfolio. It lets us leverage our channels and leverage their channels. And this business has a recurring revenue of nearly 40% from these tests. From these sensor strips that are placed on the eyes. So it's really good technology. We're pleased with it, and we're not gonna disclose the terms, though. It's a smaller deal technology deal.
Joe Giordano: Thanks, Dave.
Dave Zapico: Thank you, Joe.
Operator: Our next question comes from Steve Barger from KeyBanc Capital Markets.
Christian Zyl: Good morning, everyone. This is Christian Zyl on for Steve Barger.
Dave Zapico: Okay. Hello. I just have one question. A few years ago, EMG operated in a mid to high twenties percent operating margin. With the recent acquisitions and current mix, is it possible for you guys to get back there organically or does that likely come from acquisitions? Just really trying to get any thoughts of how you're thinking about EMG broadly and what your target targeting over the next few years. Thanks.
Dave Zapico: Yeah. I I think, seasonally, EMG is usually a little bit lower and and Q4 than the other quarters because of some dynamics in the business. But I don't I don't think there's any reason that we won't be operating at that at that level. And and I think we did operate at that level in the third quarter. Yeah. Yeah. I if you go back couple of years like you stated, we were probably mid twenties, right, before the Paragon acquisition. And and and now if you look at where we are, we have we've kind of retract back maybe 60%, and I think we're on track to hit those, those mid-twenty margins in '26 in EMG and grow further from there.
Christian Zyl: Great. Thank you.
Dave Zapico: Thank you. Thank you.
Operator: Our next question comes from Scott Graham from Seaport Research Partners. Your line is open.
Scott Graham: Hey. Good morning. Thanks for taking the question. There's actually two of them. I don't remember, Dave, the last time we saw Vitality of thirty percent. I was hoping you would unbundle that maybe a little bit toward maybe is there some defense in there? Is there, you know, this may be chasing some data center sales in there Can tell us maybe where some of those are going specifically if you could and their impact on the organic
Dave Zapico: Yeah. Thirty percent's a good number, Scott. We're very pleased with that. There there are some data center sales on that. We talked about in the last call that we've reconfigured some of our products for that market. That were sold to defense market. Those are certainly contributing to that. But there's just a the engineering capability of the company is unquestioned, and they they're really developing some good things or customers are very pleased with them. They're with the uptick and it makes us feel confident going into a a strengthening market that we get the right products that you need. But it's really it's bottom up, as you know. So it's it's all our businesses, and we're not we're not telling a business to develop this or develop that. It's organic. And there's just very, very viable product development plans, technology road maps, we're optimistic about what we've done with our products and our technology.
Scott Graham: Okay. Thank you. The follow-up is simple. It's the defense budget potentially reaching $1.5 trillion at some point next couple of years. Do you need acquisitions maybe to get you a little bit more more broadly exposed to, you know, sort of have dibs on some of that? Or how do you feel about your defense business role? I I know that there's nothing specific in the budget on it. It's just a number. But how do you feel about maybe getting after some of that business? Do you need, a couple of deals to help you?
Dave Zapico: Yeah. We'd love to do a deal in the defense industry. But that doesn't where we have fully developed product lines and and the business cases for what we have. And I mentioned the Abaco business and the computing area. I mentioned the air technology. I mentioned our road front business and advanced cooling. I mentioned our power business selling power systems to UAVs. So we're really competitive, and that business is doing very well. So we don't need an acquisition to continue growing and we actually have a little our aerospace and defense business is about 18% of sales. We have a little more defense sales than than commercial sales. So we're we're we're in a pretty good position there. Legacy centers on aircraft, selling to both commercial and and defense aircraft to some of the more lately, some of the modern more things we've done in in the recent years. So it's pretty wide range. It's the same strategy. We're focused on niche technologies, things we're really good at. And have plenty of people knocking on our door. And as I mentioned, the European you know, the the the European starting to to focus on their own defense and their own protection. Definitely definitely creating opportunities for us.
Scott Graham: Thank you.
Operator: Thank you. Our next question comes from Rob Wertheimer from Melius Research. Your line is open.
Rob Wertheimer: Hi, and thanks. I know we're getting towards the end of the call. I had sort of a general question that you touched on with with Andrew, I guess. But on Paragon, it seems like a lot of things have gone well. And this may be a question as much about AMETEK as about Paragon, but I wonder if you could just you know, just give us insight into what you've done and what has, made the most positive improvements there as a way of learning about the company again. Thanks.
Dave Zapico: Yeah. Well, I I I think the the most important thing is we bought a very good business. And if you remember when we bought it, the that was in the middle of a destock, and you know, people were worried about it. We weren't worried. Because we knew we had a good business. We knew we had a good team. And and you know, they they the consumable surgical instruments that they manufacture are good recurring revenue. They're a leader in implantable components. So we bought a good business. And we bought a business that, quite honestly, was undermanaged on the operations side. So we've done a lot of good work to improve that operations, combined it with one of our businesses who has a great capability in in another part of this market. So similar to the FARO model, we have a bought a business in a market we knew. We have some capability. We we restructured the business to be be more focused on on customers, more focused on understanding the p and l. And and we're bringing AMETEK's global capabilities to it. So it's a it's a, you know, kind of a playbook that we apply quite often and Paragon is gonna gonna lead the way, but Farrell's right behind him.
Rob Wertheimer: Perfect. Thank you. Yep. Thank you.
Operator: Thank you. And our next question will come from Robert Mason from Baird. Your line is open.
Robert Mason: Just one question. Dave, to go back to the process business, it does sound like your business is there more likely to lead on growth Yeah. And you made a comment just around some of the research areas. How are you expecting those research areas, R and D exposed areas, to play out through the year? Do you think they've have a chance, you know, for to be flat or even up a little this year, start to see some turn?
Dave Zapico: I I do. And and and there's always time for you, Rob. So so we'll always speak to him. So yeah, I I think in the research area, what you really saw in The US was there's there's a little bit of during the Doug's time, there was a little bit of a, you know, a little bit of dysfunction, and that's right in itself. So in in a lot of areas of research, so we happen to be particularly biased too. There's a lot of nuclear research going on. In the materials area, there's a lot of research going on to find new materials, to, you know, replace you know, other materials with with you know, the rare earth metals. There's a lot of research going on there. So in our Kamika business, there's high end research. There's high end research going into nuclear And the other thing that caused us some problems in 2025, which has gone away, was when the tariffs originally were put in place, they caused a substantial pricing disconnects for us and our customers, and now we've worked through that. So long as tariffs stay in about the same range, that won't be an issue. So I do think that we have the potential to to grow our research business in '26 just as an answer to your question.
Robert Mason: Pretty good.
Dave Zapico: Thanks, sir.
Dalip Puri: Thank you.
Operator: And I am showing no further questions from our phone lines. I'd now like to turn the back over to Kevin Coleman for any closing remarks.
Kevin Coleman: Thank you again, Crystal, and thanks, everyone, for joining our call today. And as a reminder, a replay of the webcast may be accessed in the Investors section of ametek.com. Thanks all.
Operator: Thank you. This concludes today's program. Thank you for your participation. You may now disconnect.